Operator: Good morning, everyone, and welcome to today's PVH First Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, you will have an opportunity to ask questions during the question-and-answer session. [Operator Instructions] Please note, this call maybe recorded. And then I will be standing by if you should need any assistance. It is now my pleasure to turn today's program over to Sheryl Freeman, Senior Vice President of Investor Relations. Please go ahead.
Sheryl Freeman: Thank you, operator. Good morning, everyone, and welcome to the PVH Corp first quarter 2023 earnings conference call. Leading the call today will be Stefan Larsson, Chief Executive Officer; and Zach Coughlin, Chief Financial Officer. This webcast and conference call is being recorded on behalf of PVH and consists of copyrighted material that may not be recorded, rebroadcast or otherwise transmitted without PVH's written permission. Your participation constitutes your consent to having anything you say appear on any transcript or replay of this call. The information to be discussed includes forward-looking statements that reflect PVH's view as of June 1, 2023 of future events and financial performance. These statements are subject to risks and uncertainties indicated in the company's SEC filings and the Safe Harbor statement included in the press release that is the subject of this call. These include, PVH's right to change its strategies, objectives, expectations and intentions and the company's ability to realize anticipated benefits and savings from divestitures, restructurings and similar plans, such as the planned cost efficiency action announced in its second quarter earnings release and its 2021 sale of assets of and its exit from its Heritage Brands business to focus on its Calvin Klein and Tommy Hilfiger businesses. PVHs does not undertake any obligation to update publicly any forward-looking statement including without limitation any estimates regarding revenue or earnings. Generally, the financial information and projections to be discussed will be on a non-GAAP basis as defined under SEC rules. Reconciliations to GAAP amounts are included in PVH's first quarter 2023 earnings release, which can be found on www.pvh.com and in the company's current report on Form 8K furnished to the SEC in connection with the release. At this time, I'm pleased to turn the conference over to Stefan Larsson.
Stefan Larsson: Thank you, Sheryl. Good morning, everyone, and thank you for joining our call today. We had a strong start to 2023 delivering performance ahead of expectations for both the top and bottom line, driven by our disciplined execution of the PVH+ Plan. We grew first quarter revenue up 5% in constant currency and up 2% on a reported basis despite the challenging macroeconomic environment. Looking ahead, we are reaffirming our guidance for the full year, reflecting the confidence we have in our ability to continue to execute with impact, while being prudent given the choppy macro. We are well-positioned to deliver solid top line growth in addition to double-digit EPS growth, at the same time, making strategic investments in areas such as marketing, the shopping experience and the supply chain to drive long-term brand accretive growth. I'm starting to see leaders all-around the company leveraging the clarity of direction from the PVH+ Plan and drive progress in their areas. Progress that is repeatable and scalable, and some of it contributes to drive the performance here and now as some you will see the results come over time. But as a leader having done this a few times, I know that when I see my leaders, whether its significant product and marketing improvements in Calvin, igniting the influencer marketing and D2C for Tommy North America or a new global brand campaign for Tommy connecting back to the brand's DNA or supply chain improvements globally or a new level of cost efficiency work led by our finance team, then I know that we're on the way to transform this company. I feel very good about how we deliver on our near-term commitments, while maintaining a strong focus on our long-term vision to build Calvin Klein and Tommy Hilfiger into the most desirable lifestyle brands in the world and position PVH as one of the best performing brand groups in our sector. Our PVH+ Plan guides us on this journey and is centered around five key growth drivers; the first is winning with product. The second is winning with consumer engagement. The third is winning in the digitally-led marketplace. The fourth is, developing a demand and data-driven operating model. And the fifth is to drive efficiencies and invest in growth. Let me start by sharing an update on how we deliver against each. Everything starts with winning with product. It's the most important part of the brand promise, driving brand desirability and building consumer loyalty over time. Having the best product in the market gives us pricing power and drives margin expansion. In the first quarter, we made significant strides here, we continued to advance our category offerings and deliver double-digit growth in key hero products such as the 1985 Polo program for Tommy and the modern cotton underwear program for Calvin. These best sellers are example of products that are essentials to the consumers wardrobe. Even though we are already driving increasing strength in hero products, we're just in the beginning of tapping into our full potential. We then win with consumer engagement by connecting our hero products with culturally relevant aspirational talent. This comes to life in three ways; first, we developed cut-through brand campaigns every season; second, we ignite the power of our influencer engine; and third, we elevate the consumer experience at every touchpoint. In Q1, you saw this executed really well in both Calvin and Tommy, generating very strong consumer engagement with billions of impressions across both brands. I'll share more specific proof points in my brand update in a moment. What I want to emphasize here though is that, these campaigns form a powerful brand halo and ignite our talent and influencer engine globally. As we shared with you last quarter, we're stepping up our investments here in a very targeted way. In addition to increasing our strategic investments in marketing, we are enhancing the brand experience across all consumer touchpoints to win in the digitally-led marketplace. For the quarter, on a constant currency basis, we drove double-digit growth in our D2C businesses, which include a double-digit growth in our stores and high-single digit growth in our owned and operated e-commerce. Overall, we are focused on driving our direct-to-consumer offers, while at the same time, deepening our relationships with key wholesale partners. We continue to make early progress towards building a demand and data-driven operating model that connects the planning, buying and selling of inventory much closer to demand. In the quarter, we executed excellent on time delivery performance, shortening transit and production lead times and improving forecasting and buying. We are getting closer to the consumer with a more responsive replenishment model that ensures that we're never out of stock on core essentials and hero products, already in Q1, driving significant comp increases in many of those products. As we we're investing to fuel growth, we also remain focused on driving cost efficiencies and improving our overall cost competitiveness. We continue to make progress to align our organization to the PVH+ Plan through the cost actions we have shared previously. Next, I'll share some highlights that demonstrate how we are connecting our brands with the consumer and driving brand desirability around the world. Starting with Calvin Klein, we generated some of the highest consumer engagement in the history of the brand, driven by the most impactful version of our Calvins or nothing campaign to date. The campaign on its own had incredible impact, 1.7 billion impressions across PR and social media. The brand trended for multiple days on Twitter and expanded its social following with 1.6 million new followers, and we saw significant increases in traffic to our owned and operated e-commerce sites. This highly successful campaign was developed around our core principles of creating cut-through campaigns, igniting our influencer engine and elevating the brand across every consumer touchpoints. We expanded our already strong brand ambassador group for the spring campaign, which included Kendall Jenner, Michael B. Jordan, Jennie Kim and the introduction of Jungkook, who is a massive K Pop Star. When we last spoke, Calvin had just announced Jungkook as brand ambassador. Consumer reaction has been incredibly strong globally with a plus 39% increase in site visits across all regions and a visible lift in sales, which were up 150% compared to the weeks prior to launch. In China, the denim shirt [he wore] (ph) sold out on Tmall in just 30 minutes. We also had the highest reaching post of all-times on social with our campaign video on Instagram generating 21 million in reach. The brand also recently launched Jennie for Calvin Klein, a unique limited edition capsule collection designed in partnership with Jennie Kim of Blackpink. The collection is focused on Jennie's personal take on hero products and style essentials in denim, underwear and other key categories. Together with a cut-through campaign that ran globally, it generated nearly 700 million social media impressions along with key products that sold-out within two days of release and we grew our consumer base with 65% of consumers being new to the brand. For Tommy with its unique DNA of classic American cool, the brand continues to drive strong visibility and relevance among target consumers, generating approximately 5.5 billion impressions and 56 million social engagements globally during the quarter. Our Classics Reborn spring campaign celebrates the brand style icons made relevant for today and is really cutting through with consumers. Across APAC, for example, our collaboration with pop culture sensation and singer Henry Lau helped drive Polo shirt sales up 68% year-over-year during the campaign period. Our collaboration with Shawn Mendes continued to drive brand heat globally. Personal appearances by Tommy Hilfiger and Shawn Mendes in London, Berlin, Milan and Mexico City resulted in huge crowds, day long lines at the stores and an elevated consumer experience. For summer, we are focused on high-visibility collaborations to celebrate key consumer moments as part of our long-term partnership with the Mercedes AMG Formula 1 Team, the brand co-created a capsule collection ahead of the Formula 1 Miami Grand Prix in collaboration with Awake, New York. The collection combined Awake street style sensibility with Tommy’s signature prepostetic. The campaign featured talent like Lewis Hamilton, George Russell and Mick Schumacher and was amplified by multiple aspirational influencers. The capsule was one of the best performing of the year with a 62% sell-through in the first week. We are also excited to share the news about our upcoming collaboration with Disney, connecting business Disney’s iconic characters into the world of Tommy Prep. We are thrilled to be part of Disney’s 100th year milestone anniversary and look forward to celebrating with consumers worldwide, with a special focus on Asia. Now turning to our regional performance and how we are connecting our brands and executing the PVH+ plan across each region, starting with Europe. We continue to fuel our strength and delivered mid-single digit year-over-year growth for the first quarter in euros, adjusted for our Russia exit on a significantly bigger business than pre pandemic, a testament to our team's execution in the face of a continued challenging macro backdrop. We are further strengthening brand desire and our leading brand positioning in Europe for both Tommy and Calvin through hero products and cut-through campaigns. For Tommy, our 1985 program now represents over 25% of the total Tommy men's apparel business, up 70% year-over-year. We're driving strong sell-through and higher AURs in key categories, such as polos, shirts and sneakers and remain focused on expanding our strength in outerwear. At the same time, we continue to grow Calvin through building out and commercializing our hero product franchises in underwear and other key lifestyle categories, which are delivering higher AURs and double-digit growth. When we look at our forward wholesale order book, adjusting for Russia, and improved delivery performance compared to last year's supply chain disruptions, we continue to expect our shipped order book for fall to be up low single digits. And as we have mentioned before, we are well positioned to capitalize on stronger demand through our never out-of-stock programs. Looking ahead, we will intensify our execution of the PVH+ Plan to continue to further strengthen our market position in the region. Moving on to Asia Pacific. We delivered a very strong start of the year by leaning into our hero product strategy and connecting our brands to impactful and regionally relevant talent. Our execution drove more than 25% revenue growth on a constant currency basis with strong growth across all countries, including China, which was up more than 40% in local currency as COVID restrictions lifted and our consumers came back strong. We also saw continued strength in Japan, Korea and Australia. We continue to amplify hero products and excite with newness to drive key category growth. In the first quarter, our euro product again outperformed with higher AURs and expanding gross margins. We continue to strengthen our brand awareness and build a sire through cultural icons such as Jennie Kim and [John Cook] (ph), as I mentioned earlier. Our brands have premium product positioning in the region, and we see a clear opportunity to grow further across all markets. We continue to make strategic investments to increase overall brand awareness, especially in China, where both Calvin and Tommy are underpenetrated. We are creating a consistent and seamless experience no matter where the consumer shops in the marketplace with the largest growth opportunity being in digital. We launched on Douyin last year to cover even wider audiences across China, and we are now continuing to expand our digital footprint by launching on the rapidly growing [DouYu] (ph) platform, targeting Gen Z consumers in top tier cities. Looking ahead, following a successful Labor Day and International Women's Day in the first quarter, we are now gearing up for a strong 6/18 and Chinese Valentine’s Day, with each of these events supported by unique product capsules. Turning to our business in North America. We continue to make great progress in building the foundation for sustainable, increasingly profitable and brand accretive growth. We are winning more with the domestic consumer and getting good traction from our execution, leading to outsized growth in our direct-to-consumer business. We drove double-digit comps in D2C stores and e-commerce and we improved our ability to match inventory to demand. Let me share some exciting proof points. For Tommy in Q1, we drove 25% year-over-year increases in key categories such as knits, sweaters and wovens. Global best sellers now represent approximately 85% of our assortment, up from 35% last year. Poles were once again the number one category with higher AURs as we are elevating these key essentials. Similarly for Calvin, across channels, we are better matching key hero products with elevated marketing content, and we had stronger-than-expected performance in D2C e-commerce. For both Tommy and Calvin in North America, we're starting to significantly improve how we plan and allocate our inventory. Leveraging advanced analytics to ensure that the right product goes to the right stores at the right time to drive better availability and margin expansion. Beyond D2C, we also drove progress with key wholesale partners in the quarter, working very closely to improve Calvin and Tommy's presentation in top doors and drive consumer demand by sharpening our category offense and leaning into our hero products. Looking ahead, we continue to see significant opportunity to unlock our full potential in the North America region. In closing, across the company we continue to take big steps in our disciplined execution of the PVH+ Plan. With a strong focus on all that is within our control, I feel very confident that we will continue to deliver further building on the traction we have across both brands and all regions, while successfully navigating the choppy macro. Last quarter, I highlighted the strength we are building in the leadership team and how I see talent as the key driver of the PVH+ plan. And just last month, we brought together our top 160 global leaders in New York to share progress, proof points and learnings from the first year of our PVH+ execution under the theme of Dream and Deliver. It was so powerful to see our top leaders together, not only being fully united and committed to our vision, but also being clear on how to achieve it, and seeing so many of them sharing on stage many examples of what successful execution looks like. As I continue to travel extensively with our teams in the markets globally, what's crystal clear to me is that, no matter where in the world I go, there is incredible strength and untapped growth potential for both Calvin and Tommy. I often start my meetings with our team sharing my perspective that over 90% of our potential is still ahead of us. And I want to thank all our teams globally for being so engaged and so committed to go after it, executing another strong quarter together where we keep building on the momentum. And with that, I'll turn the call over to Zach to discuss the financials in more detail.
Zachary Coughlin: Thanks, Stefan, and good morning. My comments are based on non-GAAP results and are reconciled in our press release. As Stefan discussed, we are pleased with our strong results for the first quarter, which exceeded our top line guidance by 2%, delivering constant currency revenue growth of 5% versus last year and significantly exceeding our earnings guidance with earnings per share of $2.14. We are building a track record of strong performance delivering yet another quarter with top and bottom line results above guidance as we fought hard to win in the challenging macro environment. Looking forward, following our strong first quarter, we are reaffirming our full year revenue and EPS outlook. We are continuing to build momentum in the execution of the PVH+ Plan with our first half outlook in line with plan. And at the same time, we acknowledge that macroeconomic uncertainties still exist with the consumer sentiment tempered by inflationary concerns. As such, we continue to plan for 2023 with a healthy balance of optimism and prudence. I will now discuss our first quarter results in more detail and then move on to our outlook. Our constant currency revenue growth of 5% in the first quarter was driven by both our Tommy Hilfiger and Calvin Klein brands. On a reported basis, revenue was up 2% for the quarter, which reflected a 3% negative impact from exchange. Starting from a regional perspective, first quarter revenue for our international businesses was up a strong 9% on a constant currency basis. Within our International business, strong consumer demand and cut-through marketing campaigns drove outstanding results across the Asia Pacific region. Revenues for Asia Pacific were up 18% on a reported basis including an 8% negative impact of exchange. And China was a particular bright spot with 44% growth in local currency, following the lifting of COVID restrictions in the fourth quarter. Revenue in our European business was up mid-single digits in euros, excluding the negative impact from the Russia exit in 2022. This was in line with expectations and building on top of a very strong first quarter in 2022. Overall, excluding Russia, our European business in the first quarter was 35% larger than in the same period in 2019 in euros. In North America, our focus has been on driving growth in the direct-to-consumer business and we delivered 14% growth in DTC for the quarter, with strong performance in both our retail stores and our owned and operated digital commerce business. And importantly, driven by improvement in sales to domestic consumers compared to the prior year. Wholesale sales in the region were down as planned, primarily in our Calvin Klein business, as retailers continue to take a cautious approach due to the elevated levels of inventory industry-wide. From a channel perspective, we continue to focus on driving performance in our direct-to-consumer business where we have the closest connection to our consumer and can deliver the PVH+ Plan with greatest impact, and we delivered strong growth in both our stores and our owned and operated digital commerce business for the quarter. Our DTC revenue was up 12% on a constant currency basis, reflecting double-digit growth in both Asia Pacific and North America and up approximately 250 basis points as a percentage of our total revenue compared to last year as we accelerate our DTC growth in line with our PVH+ Plan strategies. On a reported basis, DTC revenue was up 8%, which reflected a 4% negative impact from exchange. Our global brands also continued to deliver solid growth. Tommy Hilfiger revenues were up 8% on a currency basis, and Calvin Klein revenues were up 3% on a constant currency basis, with Calvin Klein more reliant on wholesale in the U.S. As Stefan described in depth earlier, our successful cut-through marketing campaigns and collaborations fueled growth in both brands this quarter. With the Shawn Mendes collaboration driving strong demand for Tommy Hilfiger and in Calvin Klein, the highly successful Calvins or Nothing campaign together with Jennie Kim, [June Cook] (ph) and other strong ambassadors driving incredible brand engagement and demand. Reported revenues were up 5% for Tommy Hilfiger and flat for Calvin Klein. In the first quarter, we delivered gross margin of 57.9%, a decrease of 50 basis points compared to last year despite a 150 basis point negative impact on product costs due to exchange. Gross margin reflects a significant favorable shift in mix with our higher-margin DTC and international businesses making up a larger portion of total revenue. Additionally, freight costs were down as we use less air freight due to our supply chain having fully recovered back to pre-pandemic on-time delivery rates and transit times. Price increases were more than offset by higher product costs, including the negative impact exchange previously mentioned and the full impact of abnormally high raw material costs. SG&A expense as a percentage of revenue for the first quarter was 48.7%, and lower than expected largely due to timing of expenses shifting from first to second quarter. The slight 30 basis points increase versus last year is more than explained by the shift in mix towards our DTC and international businesses. We continue to take a disciplined approach to managing expenses, driving cost efficiencies while making targeted investments in strategic areas to fuel growth. In total, EBIT for the quarter was $199 million, exceeding our expectations due to strong revenue performance and lower expenses. Operating margin was 9.2%, which included the 150 basis point negative impact of exchange on our gross margin. Earnings per share increased 10% to $2.14 compared to $1.94 in last year's first quarter and exceeding our guidance by $0.24, largely driven by improvement in EBIT with about half of that beat due to timing differences between the first and second quarters. Earnings per share for the quarter also included an $0.11 negative impact compared to the prior year related to exchange translation. Our tax rate was approximately 23%. In line with previous discussions, our inventory levels continue to sequentially improve, and we now expect to have inventory and sales fully aligned by the end of the second quarter. Overall inventory was up 24% at the end of the quarter compared to the prior year period with sequential improvements in all regions. As we've discussed previously, inventory levels were abnormally low in the first quarter last year due to supply chain and logistics disruptions. The supply chain is now fully recovered to pre-pandemic levels with on-time deliveries back over 98% in all regions. Our inventory at quarter end reflects those earlier receipts of inventory along with the full impact of higher product costs compared to last year. We continue to work relentlessly to drive results. Our strong first quarter performance is a testament to the power of our two global brands, Calvin Klein and Tommy Hilfiger and our ability to navigate this volatile macro environment. And now moving on to our outlook. For the full year, we are confidently reaffirming our guidance on all dimensions. Revenue is projected to increase 3% to 4% as reported and 2% to 3% on a constant currency basis, along with our operating margin outlook of 10% and our EPS projection of approximately $10 per share. Regionally, our outlook remains unchanged as well as our overall first half plan is in line with our initial projections. Europe in euros and North America are both planned to grow low single digits with strong growth in our direct-to-consumer channel, tempered by wholesale revenue as retailers remain cautious on orders, especially in the U.S. We expect our strong performance in Asia Pacific to continue with growth in the region planned up low double digits. This reflects broad-based growth across the region led by China, where easing of COVID restrictions has led to a strong rebound in demand for both brands. Additionally, we expect strong growth in other key markets as our product strategy and cut-through marketing campaigns are driving demand across the region. We continue to expect our full year gross margin rate to increase over 100 basis points compared to 2022 despite approximately 100 basis points of higher cost due to exchange. The improvement in our gross margin reflects an approximately 100 basis point benefit from a favorable shift in channel and regional mix as we continue to drive growth in our higher-margin DTC business, in line with our PVH+ Plan strategies and our DTC and international businesses make up a larger portion of total revenue, and we expect to deliver approximately 100 basis points of improvement due to lower freight costs, a combination of both significantly lower air freight spend and a material decrease in ocean freight rates, both of which are an outcome of the significant improvements we've driven in stabilizing our supply chain, which is now performing back at pre-pandemic levels. We expect gross margin improvement to grow and impact each quarter through this year. We continue to expect that SG&A expense as a percentage of revenue for the full year will increase approximately 70 basis points compared to 2022 with our investments in DTC and mix of international business driving higher expenses. Additionally, we are investing in key areas that drive growth with a focus on increased levels of marketing beginning in the second quarter with our full year targeted at approximately 6% of revenue for the year compared to approximately 5.5% last year. We continue to drive cost efficiencies across the business and evolve our ways of working. We are making progress in our plans to implement the people cost actions we have shared previously and aim to achieve our targeted 10% people cost reduction in our global offices by the end of the third quarter. Our full year operating margin projection continues to be approximately 10% and reflects high single-digit EBITDA growth. Interest expense is projected to be approximately $100 million and our tax rate for the year is estimated at approximately 24%. For the full year 2023, we continue to project earnings per share to be approximately $10, up 11% compared to 2022. Turning to the second quarter. Our overall revenue is in line with original plans and is projected to increase low single digits on both a reported and constant currency basis compared to the prior year. The PVH+ Plan is driving growth by delivering the best-selling hero products that drive brand desirability, cut-through marketing campaigns that drive strong consumer engagement and elevate the consumer experience and strong performance in our DTC businesses. Second quarter earnings per share is projected to be approximately $1. 70. As our PVH+ Plan execution builds momentum, we are planning higher second quarter SG&A investments with a particular focus on marketing, where our spend is planned to increase by over 20% versus last year as we invest in cut-through brand campaigns that ignite our talented influencer engine globally and elevate the brands across consumer touch points, building momentum heading into the second half of the year. Our tax rate for the second quarter is estimated at approximately 26% and interest expense is projected to be approximately $25 million. Before we open up for questions, I want to reiterate that we are pleased with another strong quarter to start the year. We are confident in the business and our ability to win in a challenging environment and committed to driving top line growth, improved profitability and strong double-digit EPS growth in 2023. And with that, operator, we would like to open it up for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Bob Drbul with Guggenheim.
Robert Drbul: Good morning and congratulations on a great start to the year. I guess just trying to keep at a high level today with you guys, but you had a really solid first quarter, making a lot of progress against the PVH+ Plan. But you're not raising your guidance for the year. I'm just wondering if you could just maybe walk us through the dynamics on really where you think the business is. And when you look at the expectations that you had going into the year, any of the dynamics that you see, how you think about the numbers from this perspective. That would be helpful. Thank you.
Stefan Larsson: Well, thank you, Bob, and good morning. Let me start answering your question by sharing why I feel so good about our beat in the first quarter. So, if you look at both Tommy and Calvin, we are winning with product. We are winning with the consumer engagement, and we are winning in the marketplace execution, and we do that across our three regions. And we do it in an increasingly systematic and repeatable way through the PVH+ execution. So the best way to describe this, what this really means is, starting with the cut-through campaigns. For both Calvin and Tommy, we are in a very systematic way driving consumer engagement through cut-through campaigns that are amplified by our influencer engine. So for Calvin, it's within the cut-through campaign under the Calvins or Nothing umbrella generated -- this quarter generated some of the strongest consumer engagement in the history of the brand. So I mentioned Jennie Kim, John Cook, Mike B. Jordan, Kendall Jenner. So just this campaign alone during the quarter drove 1.7 billion impressions globally and 1.6 million new followers on the brand's social media platforms. And then we look at Tommy. Tommy come to market through and drive engagement through Tommy's Classics reborn campaign. And during the quarter the brand generated -- Tommy generated 5. 5 billion impressions and 56 million in social engagement during the whole quarter, amplified by talent like Shawn Mendes. But also through long-term collaborations the brand has had for many years, but we amplify those differently now through the talent and the influencers. So the Mercedes Benz Formula 1 collaboration in the most recent race in Miami, we really amplified it with talent, with a collaboration. So you start to look at why we drive this strong performance despite the choppy macro -- the strength of the brands come to life through these strong campaigns. Then these campaigns, they play into a very strong product category of us. So in Calvin, that means underwear, shirts, denim, pants, outerwear. In Tommy, it means polos, shirts, khakies, sneakers, also outerwear. So we have the campaigns play into the biggest and most important product categories for the consumer. And that's where we focus and that's where we play to win. Within those categories, we build hero products. So one example in Tommy is the 1985 program, double-digit growth. Calvin's modern cotton program, double-digit growth. So you start to see the campaign connects to the category of as connects to the hero products and then it connects to -- most importantly, it connects to how we execute in the marketplace. So where you see that we have the most control of the execution is direct-to-consumer. We drove double-digit direct-to-consumer growth for both brands, both stores and e-commerce. So this is how it all ties together, and this is why we have the confidence in looking for the rest of the year, we will just continue to gain traction. Then in addition to this, we are building the strength in the underlying business engine. So the demand-driven supply chain, we are really starting to get traction. We are back on better than pre-pandemic supply chain operations 101. We start to be able to shorten our lead times. We start to buy closer to demand. We replenish our key essentials in a much faster way. And then to Zach's point on the investment, we start to target investing in these growth drivers that I just went through. So marketing increasing from 5% to 6% of sales and then we drive our efficiency. So look at it as the PVH+ Plan comes to life consumer-facing and the underlying business engines and in a very systematic repeatable way. So coming back to the specifics of your question, in a normal year, Bob, with all this traction, we would have most likely flown this through, because we keep gaining this traction all across the company. And I just having done this a few times, as I mentioned, I know when that inflection point happens when you start to see traction just building. But, at the same time, we are prudent, we are in it for the long-term value creation for shareholders, and we recognize we're in a choppy macro. So that's why we decided to even though we beat and why we beat its systematic and repeatable and we see it continue, we recognize the choppy macro, and we decide to reaffirm the guidance.
Robert Drbul: Great. Thank you very much.
Operator: Thank you. Our next question comes from Jay Sole with UBS.
Jay Sole : Great. Thank you so much. Stefan, I want to follow up on your comments on supply chain. It sounds like the supply chain is really starting to operate back to pre-pandemic levels and some of the changes that you've been implementing are starting to happen. What kind of visibility you have into seeing the company supply chain really evolved to the point where it can be fully delivering the kind of results that you want to really maximize the PVH+ Plan and to get it to where you want to be? And how long do you think it will take to get there now that the supply chains are sort of back to normal?
Stefan Larsson: Thank you, Jay. It's a really important question around a really important value driver that I would say right now, we're in the early innings of unlocking a demand-driven -- building a demand-driven supply chain. So having David Samman with his H&M experience come in and help spearhead this with our leaders across our brands, across our regions, within supply chain. We're seeing right now much better visibility to what this could look like. So let me give you a few examples. So on-time delivery, we had supply chain-related issues coming out of COVID, we are now in a better place than what we were before COVID. So we are able to start to cut production lead times and cut delivery lead times, and we are doing that right now. And that also -- in parallel to that, we're able to better improve our forecasting and buying closer to demand. So over time, you will hear us lay out how we see that we will be able to run with much lower inventory levels in relation to sales than a traditional company in our sector. So -- but early days still, but this is going to be a multi-year unlock that is big.
Zachary Coughlin: Yes. And I think from a financial perspective, we're already beginning to see some of that payoff. Airfreight has now gone to practically zero because of that level of certainty. We just finished negotiations on second half ocean freight rates, and they're down greater than 50%. And I think what we're really excited about and lastly and probably most impact fully over time is the beginnings of that impact on product cost. So finally, in holiday 2023, we're starting to see both the combination of a raw materials market that's moving in our favor as well as some of the supply chain initiatives that Stefan was talking about starting to move product costs down. And that becomes increasingly impactful as you move into 2024 as we're working on spring 2024 product costs right now. So again, it's not -- it's been to show up tangibly in the financial performance as well.
Stefan Larsson: And is a mindset shift, Jay, that we are driving across the company. When we have now set out our vision to build Calvin and Tommy into the most desirable lifestyle brands in the world that make PVH one of the highest performing [brand] (ph) in the sector, we are changing the mindset. So historically, if we were to see that to Zach’s point, the macro cost in affecting our cost of goods is going down with X percent, that would be what we would do. Now we say it's going to go down with X percent plus the improvements we are driving given that we are going to execute better than the macro. So you will see, over time, you will increasingly see how we do something plus then stepping up because that's the power of the vision now and the power of the PVH+ Plan that we have set out to become one of the highest performing branders in the sector. And we have a leadership team and leaders across the company that very much shares that mindset now.
Jay Sole: Got it. That’s great. Thank you so much.
Operator: Our next question comes from Ike Boruchow with Wells Fargo.
Ike Boruchow: Hi. Thanks so much. Zach, maybe just some commentary a little bit more on the underlying success that's driving the cost efficiencies in the business model. And then, if I got a little bit more specific based on the SG&A, that's a little lumpy in Q2. If the brand investment that you guys are making is driving engagement and future sales and customer growth, do you guys think that you would potentially add more advertising in the back half if it makes sense to you? Just trying to think about how you're weighing the pros and cons of investment in ad spend right now? Thanks.
Stefan Larsson: So this is Stefan, and then I'll hand over to Zach. But just on the highest level, the way we drive cost efficiency is that, I see from leading the whole company is the power of the vision and the power of the focus on PVH+ makes it a very clear filter to make decisions around cost and investment. Is it driving one of the five value drivers or not? And again, being a big company, having been in business for a long time, there is a lot of cost that doesn't necessarily connect into driving -- vision of driving PVH+. And that's where Zach the finance team is doing a really good job, again, shifting mindset and asking those questions. And one of the key ways we drive efficiencies is to, first, to connect all investment and cost decisions to the PVH+, but also aligning how we work aligning our organization with the execution of the PVH+.
Zachary Coughlin: Yes, absolutely. I think in the first quarter, SG&A looked up 30 basis points. But if you take out the increased DTC penetration and the outsized growth in our international markets, especially Asia, which we know come with heavier SG&A. We continue to deliver SG&A efficiency of over 100 basis points again. So that work we've started in the back end of the year, that continues. As Stefan mentioned, the core element thus far has really been aligning all spending to the PVH+ Plan drivers, which on a surface sounds simple. But in reality, we are a company that's been built together over the years via acquisition and the opportunity to rewire ways of working to operate under a single strategy and a single vision of working itself is driving efficiencies out from there and then we come in with the more structural things that we know that we're talking about. But we're really excited, though, to your point on investment in marketing in the second quarter, and I think is a sign of our confidence in how the year is shaping up. We are going to be spending more on marketing, 20% more in the second quarter than last year. Stefan talked already a lot about this is coming through in ways that are -- it's not just spending for spending. These are increasingly visible impactful campaigns that the consumers are seeing and feeling. And we do expect to maintain those increasing level of investments through the rest of the year. And I think that is -- if anything, a sign of our confidence as we're looking forward to the businesses, we know that's going to drive the outcomes that we're looking for. And then we will see underpinning that for the next -- middle part of the year, those investments are going to be coming in. And that's where we see a little bit of deleverage in the second quarter. By the end of the year, though, in the fourth quarter, we'll really start to see some of the impacts of some of the broader structural changes that we've talked about previously coming through and sort of the rebalancing of that. But for right now, we are happy to be continuing that investment in the marketing, and we'll do so. So we've seen the results so far throughout this year.
Ike Boruchow: Got it. Thank you.
Operator: Your next question comes from Dana Telsey with Telsey Group.
Dana Telsey: Hi. Good morning, everyone. As you think about North America, where you've brought customers back for each brand, what do you see as the path forward and the opportunity, where you are now versus where it was in the peak and where you can go? How do you see both on the top line and margin opportunity for the brands? Thank you.
Stefan Larsson: Well, thank you, Dana. And this quarter was a great proof point, not a great proof point for how we are winning more with the domestic consumer in North America because, as you all have heard us sharing is pre-pandemic, we were over-reliant on the international traveler, and we are really leaning into tapping into the full potential of driving brand accretive growth in North America. So starting with Tommy -- and I can take both Tommy and Calvin, you see it already now in double-digit growth in D2C in a very tough, choppy market. And so we are executing the PVH+ Plan. We are executing better category offense, better hero products, better consumer engagement and better marketplace execution across the channels. So what you will see step by step is how we continue to build on that strength in both Calvin and Tommy. And it's really just the beginning. And then it's going to be increasingly profitable and it's going to be brand accretive.
Zachary Coughlin: Yes. And I think if you think about it from a numbers perspective, focusing specifically as Stefan said, on DTC, where we can control our story and that connection with the consumer best, and we saw significant increases in revenue across both brands and across both channels for the year -- for the quarter, so landing mid-teens growth in what Stefan had said is by no means an easy environment out there in that regard. So I think it's showing up as well in the numbers that we're generating in the places that we get the chance to touch our consumers most closely.
Stefan Larsson: And Dana, just also connecting it back to I'm going to be very consistent in coming back to the biggest value driver to make the PVH+ come to life is talent. So if you look at talent for Calvin in globally and North America. So globally, we have Eva in seat now with her tremendous Inditex experience, really starting to drive strength in products, strength in marketing, very strong marketing. Jonathan, our CMO, in Calvin, together with Eva under her leadership. We have Donald Toler, President for Calvin Klein in North America with extensive Burberry turnaround experience that are very similar to what we are doing in terms of like unlocking brand accretive growth in the North American market. So Eva, Donald, Jonathan and the whole team under them really coming together around building brand accretive growth with the domestic consumer. So early days, but also in Tommy, very excited to see Emma, who's leading our D2C business in Tommy North America. Orean leading our wholesale business. Just very -- across both Calvin and Tommy and both teams, we see how we are very consistent in finding ways to strengthen product quarter-by-quarter, strengthen consumer engagement and then strengthen the D2C offers and strengthen our key wholesale partnerships, being very mindful of looking at our wholesale partnership as our best full price expression of the brand as well. We have now time for one more question.
Operator: Thank you. Our next question comes from Paul Kearney with Barclays
Paul Kearney: Hey, everybody. Thanks for taking my question. Just with some of the kind of weakness that we're seeing with North America wholesale, do you kind of view the current market as an opportunity to maybe accelerate parts of your PVH+ Plan, whether it's further pull -- change your mix towards EPC? Or conversely, are there part in the PVH+ Plan that maybe need to be pushed off a little bit. Thank you.
Stefan Larsson: Yes. Thank you, Paul. So what we are really pleased with, as we shared earlier on the call as well is that the PVH+ execution is gaining traction all across the company. And where we have most of the control of execution is in D2C. So that's where you see both Calvin and Tommy really stepping up. And on the wholesale side, we see that our partners take more of a cautious outlook and we are adjusting to that as well. But we are really leading into D2C. And then in parallel, we are leaning in with our key wholesale partners, as I mentioned, because it's -- we see big upside in further improving our category offense, further improving our hero products, further improving our presentation, further improving our inventory behind those and do that together with our key partners. So it's -- overall, our distribution strategy remains the same, which is to follow the consumer. And in this past quarter and right now, the consumer is resonating with the strength in the D2C execution and also in wholesale, but again, in wholesale, more of a cautious outlook.
Zachary Coughlin: Yes. I think from an investment perspective, we're full steam ahead, right? If you take a look at focusing on those channels that we can have the most close connection to consumers. So investing in owned stores renovation, which we've talked about. So no slowing down on that, investing in elevating e-commerce across all of the small and larger things that make that the best expression of the brand, investing in those marketing campaigns that allow us to connect directly with the consumers. Again, the year is, for us, is shaping up exactly as we were expecting it to. And so, no slowdown from an investment perspective as we push into the rest of the year.
Stefan Larsson: And just as we close, I want to just reiterate that it's how we beat Q1 that excites us the most, that we are continuing to gain traction on the PVH+ Plan. We are early on a multiyear journey to drive Calvin and Tommy tours the most desirable lifestyle brands in the world and make PVH one of the highest performing brand groups. And we are having heads down working on that, and we look forward to continuing to share updates next quarter. Thank you very much.
Operator: This concludes today's call. Thank you for your participation. You may disconnect at any time.